Operator: Good morning, and welcome to the Iron Mountain Second Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Gillian Tiltman, Senior Vice President and Head of Investor Relations. Please go ahead.
Gillian Tiltman: Thank you, Chad. Good morning, and welcome to our second quarter 2022 earnings conference call. On today’s call, we will refer to materials available on our Investor Relations website. We are joined here today by Bill Meaney, President and Chief Executive Officer; and Barry Hytinen, our Executive Vice President and Chief Financial Officer. After prepared remarks, we’ll open up the lines for Q&A. Today’s earnings materials contains forward-looking statements, including statements regarding our expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today’s earnings materials, the Safe Harbor language on Slide 2 and our quarterly report on Form 10-Q for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliations to these measures in our supplemental financial information. With that, I’ll turn the call over to Bill.
Bill Meaney: Thank you, Gillian, and thank you all for joining us today to discuss our second quarter results. Our team delivered another quarter of record results, further demonstrating our resilience in pricing power as the world navigates difficult market conditions and global instability. Our dedicated team continues to develop new and innovative solutions for the ever-evolving needs of our customers. Our durable business model and strong customer relationships consistently drive value for our customers and ultimately, our shareholders. Our record second quarter results delivered our highest ever quarterly revenue of $1.29 billion, representing 13% total organic revenue growth and an all-time record for EBITDA of $455 million, in spite of significant FX headwinds. These results are further proof of why we continue to be so encouraged by the increased demand for our services across key markets. Pricing and positive volume trends continue to benefit us in this quarter as we reflected in our organic storage rental revenue growth of 8.2%. As we have been sharing with you over the past few quarters, we have been growing quickly, even faster than our own expectations. A major driver for this growth is a direct benefit from our continued innovation, which has increased the size of the total addressable market for our products and services by 12 times to $120 billion, most of which is in faster-growing sectors. Accordingly, we are forecasting revenue growth to continue to accelerate in the back half of the year, driven by strong revenue management in our Global RIM business unit, growth in our data center business, digital information management solutions and improving trends in downstream demand for our hyperscale asset life cycle management or ALM business, which we acquired through the acquisition of ITRenew in January of this year.  I now would like to take this opportunity to share a few highlights of our customer wins. To begin with, our records management business, we have had a long-standing relationship with a major global accounting organization for more than 20 years. They were in the midst of reviewing their records management program when they learned of our Smart Sort solution. We calculated that Smart Sort could help them classify and destroy co-mingled records that have various retention schedules and a much faster and more cost-efficient way than if they were to do so in-house. This led to a proof-of-concept to demonstrate the power of our tools and techniques, which resulted in a deal that closed month sooner and expanded the records management program we performed for them across not only the outsourced records but their in-house records as well. Moreover, this win has already led to other exciting conversations with the customer about digital transformation opportunities. The deal has also opened more opportunities with the customer in Europe and the Asia Pacific region. On the digital solutions side, we recently won a contract with a large insurance and financial services company in the United States. They had previously only used us for shredding services, aligned with the acceleration of the digitization initiatives, they needed solutions to help them create greater business efficiencies whilst maintaining data security for the sensitive information their company handles every day. We provided a cloud-based solution to further support their work from anywhere initiatives by delivering information to their associates wherever they are in a secure and easy-to-access manner. Our team listened to the customers’ needs and tailored a near-site Digital Mailroom solution to effectively meet their needs by leveraging an Iron Mountain owned and operated record center located near the customers’ headquarters. As a result, we will digitize and distribute 10 million pieces of mail annually. As part of the special handling process, we will also leverage our InSight solution for checks and other items deemed to be sensitive. Over time, we expect to leverage the full suite of InSight solutions to process all of their mail, leveraging workflow automation through the use of our embedded artificial intelligence and machine learning capabilities. This innovative solution will dramatically improve mail processing times through automated routing as well as classification and governance. These wins demonstrate the merits of strong customer loyalty, coupled with our solution-oriented approach in serving our customers. We are sharply focused on understanding their job to be done in delivering solutions, which are both innovative and impactful. Now to switch gears, I’d like to share a recent data restoration and migration win that led to an ALM win, thanks to a deep and trusted relationship with one of our customers, a large Australian bank. They have been growing through acquisition and as part of their integration plans have been decommissioning their data centers to move to a large cloud provider. To help enable this transition, we recognize that they would benefit from better access to their data on tapes, leading to one of our biggest data restoration and migration services contracts. This is in and of itself a great win, but it led us to an even larger opportunity to assist this long-standing customer. Based on our strong partnership, we were able to help the customer manage their decommissioned data center assets by offering an introduction to our ALM services. This win is an important entry point and shows our ability to help our customers solve multiple business challenges. It also reinforces the cross-sell opportunity in ALM. In our ALM segment, in addition to the Australian bank, this quarter, we closed a deal with another large global bank, whereby Iron Mountain will provide on-site media destruction and data center equipment recycling to 42 data centers, campus locations and branch offices. The program will also expand to corporate and user assets in multiple global locations. This customer contacted Iron Mountain in January of 2022 to inquire about our secure IT asset disposition services due to poor performance from their incumbent vendor. Our team engaged with the bank’s key stakeholders to discuss their service requirements, data security policy and pain points in order to best position our solution. Our best-in-class logistics, asset processing capabilities, data security practices, transparent reporting, and strong client relationships were critical to securing the win. Moreover, our acquisition earlier this year of ITRenew and the resulting ability to in-source all asset processing capabilities in the U.S. convince this customer that we have the strongest capability set to service them. We are also pleased to report another ALM win with a large cloud customer wherein we were awarded part of a $60 million global RFP. The customer currently uses a multi-vendor approach with a vendor assigned per region. ITRenew was the largest provider to them in North America for value recovery and on-site drive destruction. Now that Iron Mountain has completed the acquisition, the customer has additionally awarded us their Irish business, along with expansion of the North American business to include shredding and recycling hard disk drives. We won this business in part due to our track record of achieving the highest value for the resale of decommissioned components, our global footprint and our excellence in asset tracking. We are very encouraged by the continued growth of IT assets contracted to us for disposal as well as the wins with new and existing clients. However, like all global businesses exposed to computing equipment, the latest COVID-19 shutdowns in China have had a negative short-term impact. This impact has been most particularly pronounced in May and June. There is a higher-than-normal backlog of material, which we hold on consignment that cannot be sold until we can deliver it to the manufacturers in China who are using the recycled components in their goods. Whilst China’s zero-COVID policy makes it hard to predict when manufacturing rhythms will return to normal, we do expect to see an acceleration of our sell-through once the situation does indeed normalize. In summary, the continued growth we have seen in the upstream supply of IT equipment needing to be securely and safely recycled further increases our excitement about this sector once downstream demand for recycled IT components reverts back to its usual levels. Finally, our data center business has been extremely active this quarter, and we successfully completed 83 megawatts of leasing. This included a 72-megawatt lease for two buildings on our Northern Virginia campus. Both of these facilities are effectively stabilized as we have pre-leased 100% of the capacity to a Fortune 100 company. Today, we are happy to announce a joint venture for these assets with a subsidiary of Hana Financial, a global real estate firm. Full build-out of these two sites is expected in the third quarter of 2025, and Iron Mountain will be responsible for managing the design and development of the data center shell as well as administrating the leases. Also in this quarter, we signed a hyperscale tenant on our Phoenix, Arizona campus. With this new lease, the customer has existing capacity in three of our locations. This win increases their geographic presence with us as well as introducing the client to the Phoenix market for the first time. We’ve also been active on colocation this quarter in our data center business. We had a new customer win with one of the largest managed service providers, which has existing data centers in North America and Europe, and we’re looking to gain entry into strategic emerging markets such as India. To that end, we were able to accommodate this customer through our Web Werks, JV, in Mumbai for data center capacity. When we originally entered India through this JV, we operated in three markets. We have spent much of the last year focused on securing land to expand our footprint in our existing markets as well as two additional new markets now. We believe as we work through planning and permissioning on these parcels, we will have over 100 megawatts of sellable capacity in the Indian market over the next couple of years. Having personally visited India already twice this year. I and we remain very excited about – about the opportunities we are seeing in this exciting market, both for data center as well as our business more broadly. These wins show how our focus towards building an extraordinary set of synergistic and customer-centric solutions, combined with our global reach and footprint both differentiates and propels our growth forward.  As we have discussed before, we are focused on driving commercial activity, including cross-selling our solutions to our customers, and this quarter, nearly all of our data center bookings were signed with existing customers of Iron Mountain. To conclude, I am incredibly proud our team has continued to build on our growth momentum, expand our portfolio and not only meet but exceed our customers’ evolving needs. This is evidenced by our outstanding and record results this morning, including our highest ever revenue and all-time record EBITDA as well as the highest rate of organic revenue growth in the last 25 years. We expect to continue to build on these results as we further the growth of our business based upon a strong global footprint, a powerful portfolio of products and services and our deep customer relationships. We have a very exciting future, and I can’t wait to see all we continue to accomplish together. With that, I’ll turn the call over to Barry.
Barry Hytinen: Thanks, Bill, and thank you all for joining us to discuss our results. In the second quarter, our team delivered strong performance across all metrics, meeting top-line projections while exceeding projections on EBITDA and AFFO. On a reported basis, revenue of $1.29 billion, grew 15% year-on-year or 18% excluding the effects of the stronger U.S. dollar. Incidentally, the dollar strengthened significantly since the time of our call in April and resulted in about $15 million of incremental revenue headwind versus our prior projections for the second quarter. A key highlight in the quarter is our organic storage revenue, which grew 8.2%, reflecting strong revenue management and data center commencements. Total service revenue increased 34% to $536 million with 21% organic growth. In total, this was driven by strength in our core service offerings, including digital solutions and our acquisition of ITRenew. Adjusted EBITDA was $455 million, up 12% on a reported basis and up 15% year-on-year on a constant currency basis. We had strong contributions from revenue growth driven by pricing and data center storage along with ongoing productivity improvements. The higher level of EBITDA was despite the significant impact of the stronger U.S. dollar and the disposition of our software escrow business last June. Combined, those two items are about $17 million of year-on-year headwind. The deconsolidation last quarter of the former OSG records business in Russia offset the benefit from ITRenew. With solid flow-through, second quarter EBITDA exceeded the expectations we shared on our last call by $5 million on a reported basis and by $10 million using the same FX rates included in our April projections. Adjusted EBITDA margin was better than we projected and improved 80 basis points sequentially versus the first quarter of 2022, driven by price and mix. AFFO was $271 million or $0.93 on a per share basis, up $25 million and $0.08, respectively, from the second quarter of last year. In both cases, we exceeded our expectations. Now turning to segment performance. In the second quarter, our Global RIM business delivered revenue of $1.1 billion, an increase of $74 million from last year or 7% on a reported basis. On an organic constant currency basis, revenue increased 11%. Constant currency storage rental revenue growth of 6.4% exceeded our expectations for the quarter. These results reflect the strong performance of our commercial team and their focus on selling the full suite of products across our portfolio. Global RIM adjusted EBITDA was $469 million, an increase of $45 million year-on-year. Adjusted EBITDA margin was up 120 basis points year-on-year, reflecting pricing strength and productivity.  Turning to our global data center business. Our team delivered another successful quarter of executing our strategy. On a revenue basis, we delivered 30% year-on-year growth, and a particular highlight for me is the 24% organic storage revenue growth. As we noted on our last call, we signed a 72-megawatt lease on our Virginia campus with a long-standing hyperscale customer for a near build-to-suit. As Bill noted, we have recently established a joint venture for this asset, whereby we will retain a 55% interest and generate a strong return. We completed an additional 11 megawatts of leasing in the quarter for a total of 83 megawatts. We are confident in our 130-megawatt projection for new and expansion leasing this year, thanks to the momentum from the first half of the year, combined with our strong bookings pipeline. Turning to our corporate and other business. Revenue increased 156% year-on-year, driven by our ALM business, including the ITRenew acquisition and organic growth in our Fine Arts business. For modeling purposes, let me call out a couple of minor changes we’ve made to our reporting to be consistent with how we are managing the company. First, all of our ALM business is now included in corporate and other, whereas previously, our legacy IT asset disposal business was in Global RIM. Secondly, our Entertainment Services business and certain costs that support our commercial organization have been moved from corporate into Global RIM. We have updated our historical financials to allow for comparability and those will be made available on our investor relations website later today. In our asset life cycle management business, as Bill mentioned, we are very optimistic with regard to the underlying trends in this category. And importantly, our committed backlog remains strong and growing and currently sits at a record level as we speak to you today. Turning to capital recycling. In the second quarter, we generated approximately $91 million. Total capital expenditures were $188 million, of which $156 million was growth and $32 million was recurring. We continue to expect total capital expenditures for the full year to be approximately $950 million, which includes $625 million for data center development and $155 million for recurring CapEx. Turning to the balance sheet. With strong EBITDA performance, we ended the quarter with net lease adjusted leverage of 5.3 times, which reflects a sequential improvement from the first quarter. As we have said before, we are committed to our long-term range of 4.5 times to 5.5 times. We continue to expect to exit the year at levels within our target range. And with our strong financial position, our Board of Directors declared our quarterly dividend of $0.62 per share to be paid in early October. On a trailing four-quarter basis, our payout ratio is now 68%, approaching our long-term target range of low to mid-60s. Now turning to our outlook. For the full year, reflecting our performance in the first half and strong outlook, we expect to deliver revenue at the midpoint of our guidance range despite an additional $60 million of foreign exchange headwind in the second half. And for EBITDA and AFFO, with continued pricing and productivity, we expect to achieve the midpoint or beyond of our full year guidance ranges. Now, let me share our expectations for the third quarter. We expect total revenue to be approximately $1.3 billion, which represents 15% growth year-on-year. I would like to note that we have considerable FX headwinds, both year-on-year and sequentially. We expect adjusted EBITDA to be approximately $465 million in the third quarter, which represents 11% year-on-year growth. And we expect AFFO to be approximately $280 million. To conclude, the performance of our business is strong. Our team continues to drive higher levels of growth, and we thank them for their collective efforts and dedication. Our tour is strong with margin is increasing, thanks to pricing and productivity and our investments are driving considerable growth across our business. We look forward to seeing many of you at our upcoming investor event on September 20, at which time we will have the opportunity to discuss our strategy to drive considerable future growth. The event will take place in Northern Virginia and include a tour of our data-centric campus. For those of you who cannot join in person, a live webcast of the presentation will be available. And with that, operator, please open the line for Q&A.
Operator: Thank you. [Operator instructions]. And the first question will be from George Tong from Goldman Sachs. Please go ahead.
George Tong: Hi. Thanks. Good morning. Your revenue management strategy continues to be tracking well in the storage business. Can you provide an update on how much in pricing increases are flowing through in response to the current inflationary environment and how much flexibility you have to reflect up change revenue management conditions as the year progresses?
Barry Hytinen: Hi, George, it’s Barry. Thanks for the question. The team is doing very, very well with respect to revenue management. You would have seen that our organic storage rental revenue growth on an organic basis was up over 8% in the quarter. That marked a nice acceleration even from the higher levels in the first quarter. And in our Global RIM business that was over 6% on that metric. So volume, as you would have seen on an organic basis – in total is up about 2%, but on an organic basis is very consistent with our expectations of being just slightly up, so about 50 basis points. So what you’re seeing is a very strong contribution from revenue management coming through. And I’ll just add on to the second part of your question and note that we are continuing to see incremental opportunities for pricing. And in fact, we will be seeing us move forward with additional pricing actions later in the third quarter that will fully benefit us as we move through the year and then give us a little bit of an incremental lift next year. So those are just in light of what’s going on in the economic activity and the fact that our existing revenue management program has been so well received, we see the opportunity to continue to move higher. So you will see that going forward. Thanks for the question.
Operator: And the next question is from Shlomo Rosenbaum with Stifel. Please go ahead.
Shlomo Rosenbaum: Hi. Good morning. Thank you for taking my question. Barry, can you talk a little bit more just about the ITRenew revenue contribution to the quarter you noted it was light. Can you give us the exact amount? It seems – at least my calculation is somewhere around $65 million. And then maybe Bill, you can talk a little bit as you talk about ITRenew in terms of what were you expecting in the quarter initially in when you had earnings in the first quarter? And how is that different? And how do you expect that to play out over the course of this year? In other words, what’s your target for ITRenew, given what we’re seeing from China, are you expecting to catch up? Or are you expecting some of this to kind of flow into 2023?
Bill Meaney: Thanks. I’ll start, Shlomo and then I think Barry will give you a little bit more specifics in terms of how to think about it from a modeling standpoint. So I appreciate the question. similar to what – when you and I were chatting at your conference here, I guess, a couple of months – almost two months back, summer is almost gone, is that it’s pretty much – as we were speaking about is that it’s really a tale of two cities. So as I said in my kind of remarks talking about a number of the customer wins that we’ve had around IT asset destruction and asset life cycle management, it’s been a really strong quarter. And that’s really where we’re getting the volume of material that we then sell that gets recycled into new equipment going forward. So the – what I would call the upstream in terms of the amount that’s coming to us because of our customer reach, the logistics that we have our know-how to be able to do that in a safe and secure way is that we’re sitting on very strong inventories that’s on consignment to us. So this is stuff that we hold on consignment and then sell on behalf of our customers and ourselves or the suppliers of the components and ourselves, to the downstream manufacturers that reuse that in new component. So the upstream bit is really performing to our expectations, and we feel really good about that. The downstream bit right now is primarily in China. And as we’ve seen the lockdowns even more stronger in May and June than we expected, and they continue with the rolling lockdowns because of their zero COVID policy. So we’re – it’s hard to predict exactly when that will open. The good news is we have the inventory to sell. The minute it does open and every indication is that it will normalize in the foreseeable future. But the timing of that is difficult to predict. So a long way of saying is we’re really pleased with the performance on how it’s resonated with our customers to actually even exceed our expectations and how many customers have come to us to give us their volume of components to be disposed of either to be destroyed completely or recycled downstream. In terms of selling those components downstream, which is where we recognize most of the revenue, it’s been hung up mainly because of the – well, entirely because of the COVID, zero COVID policy in China and the rolling shutdowns. And, Barry, maybe you want to talk a little bit about how we see the rest of the year shaping up.
Barry Hytinen: Yes, sure. Thanks, Shlomo, for the question. You – a couple of things you asked. On the actual contribution, you’ve calculated it correct; it was about $65 million. So that was just a touch up from the first quarter. And as we – as Bill referenced, as we said in early June in light of what we were seeing in the second half of May as well as the continued to see in June in light of the COVID shutdowns that Bill referenced. We certainly, that was below our expectations. That said, in terms of going forward, two things. One is we are planning and in the guidance that I gave you for the third quarter and the target for the full year. We have just assumed that our ITRenew contribution would be consistent going forward at that level or even maybe even a touch below that. And I think that’s a conservative way to position it because as Bill mentioned, we and so many other technology-oriented companies don’t know when China will reopen. But I think once it does, to his point, we have a very strong committed backlog and we have a good amount of consigned inventory that can sell through. I just didn’t want to plan for it to get better. So I view that as – that’s why I described that as I think, conservative because as it opens up, we will be selling through. So we feel very good about the committed backlog and the level of activity we’re seeing from our upstream clients. And as that market reopens, I think we will see a very good sell-through. Thank you.
Operator: [Operator Instructions]. The next question is from Sheila McGrath from Evercore. Please go ahead.
Sheila McGrath: Yes. Good morning. Service revenue growth was up meaningfully. I was wondering if you could help us drill down on that. What were the major drivers of the growth? Is it new businesses or a rebound of some business that had slowed down with COVID?
Bill Meaney: Good morning, Sheila. I appreciate the question. So it’s really mainly new businesses, right? I mean, the business has rebounded from COVID, but we kind of saw most of that rebound, to be honest with you, towards the tail end of last year. And there are still certain countries that are kind of going through periodic shutdowns, we talked about China – we were talking about China in terms of ALM, but we see the same thing on the records management side in terms of the rolling COVID shutdowns in China. So the growth that we printed in terms of services is mainly the new areas. And I highlighted some of the wins that we’re driving that on our digital transformation services. So this is really a direct result of taking ourselves from a $10 billion total addressable market for our products and services to the $120 billion [ph]. So that’s where you’re seeing the growth is in those new products and services that are part of that 12 times expansion of our total addressable market.
Barry Hytinen: Sheila, its Barry. The only thing I would add on to that is specifically to build on Bill’s point around digital solutions; we grew high teens in the quarter, which was the best comp we’ve had on that specific line in several quarters. And in fact, it’s against our hardest comp last year. So it really speaks to the fact that our digital business is taking hold and going from strength-to-strength. I’ll note that we had a very strong contribution from our legacy ITAD business as well. That’s in the asset life cycle management business, as you know and that business is growing at the very rates and we see considerable incremental opportunity for that to grow, in fact, just to be clear, it’s accelerating in terms of its level of growth, so we feel great about that business. And then it’s notable to say that our pricing continues to be up across the business that includes services. So thanks for the question, Sheila.
Operator: Thank you. And the next question is from Brendan Lynch from Barclays. Please go ahead.
Brendan Lynch: Hi. Good morning. Thanks for taking the question. I wanted to just touch on Hana Financial and the JV for some of your assets. Obviously, you’ve been trying to grow data center revenue for past couple of years. So it was a little bit surprising to see a joint venture structure. Maybe you could just comment on what your considerations were there?
Bill Meaney: Good morning, Brendan. It’s great to have you on the call. Let me talk about the strategic rationale of why we decided to put that into a joint venture. And then – or to do that deal that way? And then I’ll ask Barry, he can give you a little bit more of the financial details. So first of all, we don’t do – first, we don’t do a lot of build-to-suit or powered shell. And this was for a customer that is one of our largest customers globally in a number of our sites, and they had a specific requirement for Northern Virginia. The other aspect about this particular client is it allowed us to materially expand almost 100 megawatts – roughly around 130 megawatts, 135 megawatts of IT load that we can actually support on that Northern Virginia campus by doing this partnership with this client because we were able to use that to bring in a substation on to our site and we’ve completely secured the power now for the entire Northern Virginia campus. So even net of the 72 megawatts that we are actually leasing as a powered shell is that we’ve actually increased the capacity of that site by another 70-megawatt is another 70 megawatts. So that was really, really important to us. And so the – and it’s a great return on the powered shell. So that’s really our motivation first of all for doing that kind of contract. In terms of why we joint ventured it, it really was very compelling from a financial standpoint. I’ll let Barry talk a little bit about the financial aspects of the deal of bringing in a joint venture partner because I should also add, this is a 100% stabilized asset, right? So we always look at fully stabilized assets and say is that something – we’re focusing most of our capital on development opportunities, not stabilized assets. So we saw that as an opportunity. But then especially when we looked at the opportunity, the financial aspects were just very compelling.
Barry Hytinen: Yes. Hi, Brendan, thanks for joining the call. In terms of the JV, just to be clear, we’ll operate it will, of course, be respond for the construction, the management et cetera. We saw it as an opportunity to leverage third party capital, which allows us to essentially use someone else’s balance sheet and then use ours to go further our development pipeline. As you know, we’ve got a lot of capacity to continue to build out. And as Bill mentioned, this is effectively a fully stabilized asset before we even break ground. And in light of the still very significant investor interest in data center assets, we saw it as a compelling incremental opportunity to even further improve the return that much more as the pre-lease is very attractive to the capital markets. So we’ll maintain a 55% interest in it. We have traditional benefits from the joint venture structure that you’d appreciate as a data center analyst, and I’ll just note that we were able to sell that at a sub four and a half cap. And again, it’s fully stabilized. So we view it as a compelling capital allocation opportunity. Thanks for the question.
Operator: Thank you. And the next question is from Eric Luebchow from Wells Fargo. Please go ahead.
Eric Luebchow: Hi. Great. Thank you. I’ll stick with the data center topic. So kind of interested in how your sales funnel looks after such a strong start to the year, particularly with hyperscale but also on enterprise? And then – on the pricing side, it seems like data center pricing has been lifting even for the larger hyperscale deals. So I’m wondering where you’re seeing pricing today, particularly as supply appears to be getting tighter and tighter in a lot of markets. And then Bill, interested on – in terms of like where – which markets you might need additional land capacity or are there opportunities to do some select tuck-in M&A for no select assets to maybe get some capacity in new markets? Thank you.
Bill Meaney: Thanks, Eric. I’ll start. The – I think first of all, yes, it’s a great problem to have. We’ve been so successful this year in terms of leasing. You’re right to point out that we are making sure that we have capacity to continue to grow at these kind of rates. So the funnel that we have in front of us right now, if you think about we have 118 megawatts leased to date this year with – and we said – we gave you guidance that we’ll do at least 130 megawatts this year. So we feel obviously very comfortable about that. And going into next year, we don’t see any slowdown in terms of the rate of growth. I mean the 72 megawatts that we did in Northern Virginia, I wouldn’t say that’s a one-off because we continue to see in the pipeline similar types of opportunities, whether or not we’ll pursue all those is we’re constantly make decisions based on the specifics around that requirement. But we are lucky that we’re in a situation where, yes, as I said, we don’t necessarily bid it everything that comes by, so we can actually be a bit more selective. And we feel really good about the funnel. We’ll give you, obviously guidance for next year as we get closer to the end of this year. But the – we feel really good in terms of having similar kinds of growth rates going into next year and beyond. In terms of where we need more capacity, obviously in Arizona, we need more capacity, and we’re well on track to be able to do that. We talked about expanding our footprint in India. We just think that’s a really high growth and interesting market. You can imagine that we’re actually – we still have a little bit more capacity left in Frankfurt too, but Frankfurt is another market that we’re regularly looking at we’re well situated in expanding our campus in Amsterdam. So that’s good. London, believe it or not, we’re probably going to be back into the market in London again. So there’s a number of markets, but as you can imagine, is that we’re constantly out to expand it. But right now, I would say that our real estate plan and what we have currently under our control is we feel really good to be able to maintain these growth rates. I mean never say never in terms of acquisitions. We don’t see anything on the horizon, but do we look at kind of what I call brownfield opportunities like we did with Frankfurt too or even when we entered the Amsterdam market. We constantly look at whether it’s better to buy a piece of greenfield land or a brownfield asset that can be rapidly expanded. But I think you can probably think in your mind that mostly what we’re looking at is expanding our land bank in terms of greenfield.
Barry Hytinen: Eric, just to add on, this is Barry. I would say as it relates to pricing, it’s been quite good, and we see that continuing to lift across our data center portfolio. You would see that in our mark-to-market has been improving. And continuing to run a little bit ahead of our expectations, and that’s a little bit of a lagging indicator. So you’ll see more lift there. You’ve seen our new and expansion leases signing at higher levels on a per kilowatt basis, both in the quarter and versus last year, and our renewed leases are coming in better. So that, together with the fact that, churn is running kind of at or below expectations, we feel very good about what the team is doing in our data center business. Thanks.
Operator: Thank you. And the next question is a follow-up question from Sheila McGrath from Evercore. Please go ahead.
Sheila McGrath: Yes. It looks like you may have done some sale leaseback in the quarter, I thought let fewer buildings. Just wondering how much proceeds did you raise and if pricing has changed dramatically in the light of interest rates?
Barry Hytinen: Hi, Sheila, it’s Barry. Thanks for the question. You’re right. We did do a few transactions. We had about $91 million of proceeds in the quarter. Year-to-date, that’s about $96 million. I continue to expect we’ll probably do for the full year, something like $150 million, maybe a touch more than that in terms of total proceeds. And notwithstanding your point about the market, we continue to find there is a tremendous appetite for industrial assets out there. And we are able to transact in – both in terms of on cap rates as well as on lease terms that are very favorable to us. And as you know, that’s been part of our capital allocation strategy for some time. So we’ll continue to do that is my expectation. Thanks for the question, Sheila.
Operator: Thank you. And ladies and gentlemen, this concludes our question-and-answer session and the Iron Mountain second quarter 2022 earnings conference call. We thank you for attending today’s presentation and you may now disconnect. Take care.